Operator: Good morning everyone, and welcome to the Travelzoo fourth quarter 2010 financial results conference call. At this time all participants have been placed in a listen-only mode and the floor will be open for questions following the presentation. Today’s call is being recorded. It is now my pleasure to turn the floor over to your host, Chris Loughlin, Travelzoo’s Chief Executive Officer. Sir, you may begin.
Chris Loughlin: Thank you, operator. Good morning and thank you all for joining us today for Travelzoo’s fourth quarter 2010 financial results conference call. I am Chris Loughlin, Chief Executive Officer and with me today is Wayne Lee, the Company’s Chief Financial Officer.
Wayne Lee: Good morning everyone, welcome to our conference call.
Chris Loughlin: Before we begin, Wayne will walk you through today’s format.
Wayne Lee: I would like to first remind you that all statements made during this conference call and presented in our slides that are not statements of historical facts constitute forward-looking statements, and are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Actual results could vary materially from those contained in the forward-looking statements. Factors that could cause actual results to differ materially from those in the forward-looking statements are described in our Forms 10-K and 10-Q, and other periodic filings with the SEC. Please note that this call is being webcast from our Investor Relations website at www.travelzoo.com/earnings. Please refer to our website for important information including our earnings press release issued earlier this morning, along with the slides that accompany today’s prepared remarks. An archived recording of this conference call will be available on the Travelzoo Investor Relations website at www.travelzoo.com/ir, beginning approximately 90 minutes after the conclusion of this call. For the format of today’s call, Chris will review management’s prepared presentation, and we will then conclude with a question-and-answer session. If you will now please now open our management’s presentation, which is available at www.travelzoo.com/earnings, I will now turn the call over to Chris.
Chris Loughlin: Thank you Wayne. So hopefully everyone has got that presentation. Again it’s travelzoo.com/earnings. Our presentation will fall into three parts this morning. I’d like to start by quickly providing an overview of our business. I’ll then review our fourth quarter 2010 earnings and end by reviewing our growth strategy. So let’s all start on page 5. I’d like to highlight first of all, that Travelzoo is not a travel agent nor an OTA. We do not sell travel. We’re a global internet media company and since 1998 Travelzoo has been in the business of researching, negotiating and recommending outstanding deals to our millions of subscribers around the world. Through these deals, we have enabled millions of trips and experiences and brought our subscribers opportunities they may not thought of or could not normally afford. This page really sums it up quite well. On the left, you can see the incredible deal from the Ritz-Carlton in Dublin with air from New York City. To put this deal into perspective the cheapest return flights alone during this period would cost you $522 per person, but for $799, Travelzoo subscribers get their return flights and six nights at the most luxurious hotel in town. Now that’s one heck of a deal. Deals like this don’t just happen. Our staff of 200 deal experts around the world is continuously working on behalf of our subscribers to secured deals like this. On the right you can see how that deal DNA [ph] has parlayed into our new Local Deals business. With Local Deals we are now publishing unbelievable deals at top quality businesses like the W in New York City, Casa del Mar in Santa Monica, and the Spa at the Hilton Park Lane in London. If you look at the right of these deals, you can see just how big the response has been from our subscribers for these Local Deals. I’ll talk a little bit more about Local Deals later. On slide six, I want to highlight that Travelzoo is a global brand. Just five years ago principally all of our subscribers were in the US. We only published deals in English within the 50 states. Today 7.6 million of our weekly subscribers live outside of the US and we publish in 11 languages. As we’ve scaled, we’ve maintained a strong focus on quality. On the right you can see our demographics within the US. And the picture is generally the same everywhere you go in the world. Travelzoo subscribers earn well above average and they love to travel and experience life. I’ll now discuss our fourth quarter 2010 results. So let’s turn to page eight. Here I highlight the key performance metrics to Q4, 2010. Revenues grew by 20% to $28.5 million. Our earnings per share from continuing operations more than doubled from $0.09 to $0.23 and subscribers grew to 18.9 million. Moving onto slide nine, this provides more detail on our operating income. Operating income for the company in Q4 2010 was $6.7 million principally all of our operating income came from North America, while our Europe business maintained a small profit for the second consecutive quarter. Our income tax expense was $3 million, resulting in net income to $3.8 million. And our effective tax rate for Q4 2010 was 44%. This is the highest quarterly net income since Q1 2007. Turning now to slide 10, we look at our revenue by segment. Revenues accelerated in North America year-over-year to 14%. Within that growth rate, we saw excellent growth in our Local Deals business where we far exceeded our expectations for the quarter, but we also saw a decline in revenues from SuperSearch and Fly.com versus the previous quarter, as we decreased marketing spend in these search businesses. We did this in anticipation of greater investment in Local Deals. And this decreased marketing spend in SuperSearch and Fly.com resulted in lower revenues from those businesses. We feel that that was a prudent and cautionary approach. Europe revenues increased 43% year-over-year and in local currency terms, we increased by 47%, ahead of Q3 pace. Now moving onto slide 11, we illustrate the continued improvement in operating income. North America grew by 26% year-over-year and Europe stayed in the black. As a result, operating income for the whole company almost doubled to $6.7 million. Slide 12 gives us more insight into operating expenses. On the left, you can see operating expenses in North America increase compared to Q4, 2009 primarily due to new hires within our new Local Deals business, professional services and trade marketing. As a percentage of revenue, operating expenses decreased from 66% to 61%. I’d like to note that the $7.8 million of sales and marketing expense reflects a $500,000 onetime reduction in expense resulting from the reversal of previously accrued bonuses. On the right, we can see that we kept our expenses in Europe flat year-over-year. As a percentage of revenue, expenses decreased from 135% to 95%. Moving onto slide 13, we show that our headcount increased from 232 in Q3, 2010 to 255 this quarter. And revenues per employee decreased to $447,000. The majority of our new hires during Q4, 2010 were in Local Deals. We intent to increase productivity as revenues grow. On slide 14, I’d like to walk you through what’s happening with our audience. In North America and in Europe, our audience grew from 16.8 million at the end of 2009 to 18.9 million by the end of 2010. On the right you can see that we added 900,000 subscribers but we unsubscribed 700,000 subscribers. In order to maintain the quality of our subscriber base, we regularly unsubscribed email addresses that we’ve identified as being no longer valid. So the quarterly gain was 200,000 subscribers. Finally slide 15 takes a look at our cash management. DSOs, days sales outstanding decreased to 44 days compared to 49 days in Q3, 2010 and improved by two days compared to Q4, 2009. We ended the quarter with $41.2 million in cash and cash equivalents that significant increase is primarily due to the introduction of Local Deals. In that business, consumers pay us immediately with credit cards and then we pay merchants their share later. Let’s now move onto the final part of our presentation, Travelzoo’s growth strategy. On slide 17, I summarized our two growth pillars. First, we are scaling the Travelzoo business in attractive international markets, building a global brand and publishing global content. We embarked on this strategy in 2005. Second, we’re expanding our content and product offerings into entertainment, Local Deals and meta search through Fly.com. We embarked on expanding our content and product offering in 2007, first with entertainment and in mid-2010, we introduced Local Deals. At the beginning of 2009, we launched Fly.com, a meta search engine where we see great synergies with the Travelzoo publishing business. Now moving to slide 18, we illustrate our growth opportunity. On the Y-axis, we have our revenue per subscriber and on the X, we have the total number of subscribers. Today, we’ve got 19 million subscribers and generate revenues of $6.7 per subscriber. If we’re able to increase either of these metrics we can increase our total revenue. In order to increase revenue per subscriber we need to achieve better sellouts as our sales teams become more efficient, particularly in new markets in Europe. And as previously mentioned we’re introducing new content and products including entertainment, Local Deals and Fly.com. We see plenty of headroom for subscriber growth on the X-axis and as outlined last quarter, given our penetrations in the US, it may be possible to reach global audience of 40 million to 60 million subscribers in the future. I’d now like to talk about Local Deals. The next slide gives you an indication of just how big Travelzoo already is within the Local Deals market. On the left, you can see two deals that Travelzoo published which Groupon and Open Table also published. In parenthesis, you can see the number of vouchers sold by Travelzoo compared to Groupon and Open Table in these two cities. In both cases, we outsold these competitors by a 1,500 vouchers. You’ll note that our offers were at a higher price point too and provide better value for our subscribers. We’re able to crop these outstanding deals by applying our high quality production process which we’ve established over the past 12 years. On the right, you can see how some of the subscribers are reacting to Local Deals. Happy subscribers shared a positive experiences and so Local Deals and the Travelzoo brand gets positive grassroots PR across the internet. The next slide shows how Local Deals is already making an impact on our revenue per subscriber metric. Please note that we report revenues from Local Deals as net after payments to local businesses. In Q4, we published approximately 30 deals in the Los Angeles area. We feel from this activity that our average, we can generate an incremental $2.34 per quarter from those subscribers who receive two Local Deals per week. If we annualize that, we can see that we could lift our revenue per subscriber in the Los Angeles area by $9.36 on an annualized basis, taking our overall revenue per subscriber to $16.06, a 140 increase on the pre Local Deals revenue per subscriber. If we then look across the nation in Q4 and take a sample set of a 100 deals, we can see that the significant improvement in revenue per subscriber is indeed consistent. So here we are looking at just over a 100 deals that ran to subscribers in 30 different cities across Q4. We assume that these subscribers would receive two deals a week also. The incremental revenue per subscriber from Local Deals is $1.90 or $7.60 per year, taking the national monetization up to $14.30. Again this analysis it seems that we’re publishing two Local Deals per week. If we increase that to three, we believe we could even improve the monetization further. Slide 21 illustrates how this could play out from Travelzoo. We know because we’ve got the ZIP codes of our subscribers in North America and Europe that approximately 76% of our subscribers live within the top 100 cities. That works out to 14.5 million subscribers. So if we’re able to reach all of these subscribers in the top 200 cities across North America and Europe combined with two deals per week, we could possibly add approximately $110 million from Local Deals. Again those numbers are net. This simple analysis does not take into account any potential cross selling between Travelzoo and Local Deals – travel and Local Deals, it’s also does not consider the fact that our audience continues to grow. Turning to our penultimate slide, I’d like to highlight our two – how our two growth pillars complement one another. We grew our audience aggressively in North American and Europe over the last five years adding more than 10 million subscribers as we entered international markets. Had we not done that, we could not have introduced new products as effectively as we’ve demonstrated here. For example, our first London spa deals sold 2,160 vouchers. That simply would not have been possible in 2005. From this page, you’ll also get a sense for the quality of our deals. Our objective is to continue to publish high quality, high value deals. We’re not forced to publish a deal every day. So we maintain a strict focus on only the very best deals. Finally, slide 22 summarizes management’s focus for 2011 and this had not changed now for some time. Our international expansion is very successful and we’d like to continue growth in the Europe while extending profitability. We want to continue to expand our coverage of Local Deals very rapidly. Indeed just before today’s call and not outlined in this presentation, we launched Local Deals in Munich, Germany and Manchester, England. The immediate results we are seeing are consistent with our experience with Local Deals and the rest of the world. As we scale, we want to become more efficient and improve operating margins in our core business. We want to continue to publish and sell our global content opportunities. We want to move Fly.com to profitability and build on our SuperSearch profitability. And finally, we intent to improve earnings per share as our revenues continue to grow. Travelzoo’s consistent practices not to provide guidance in future periods because of the dynamics of the industry. So this concludes our prepared presentation and I’ll turn it back to the operator now for any questions – for the question and answer session. Thank you.
Operator: Thank you. The floor is now open for questions. (Operator Instructions) Please hold while we poll for questions. And our first question comes from Ed Woo with Wedbush Securities.
Ed Woo – Wedbush Securities: Good morning guys. Do you have a breakdown for what Local Deals revenue was for the quarter?
Chris Loughlin: Ed, we have not broken the Local Deals revenue – the net revenue down, obviously the gross revenue is visible on the site, which is not to break it down simply for competitive reasons because it discloses our margin.
Ed Woo – Wedbush Securities: Then the other question I have is you mention how if you increase the productivity on Local Deals to multiple deals per week, then your revenue would go up but currently some of your deals are less than a deal a week in certain cities. Do you think that you can actually get that much higher?
Chris Loughlin: That’s really a case of finding the right sales people. So I mean you live there in the Los Angeles area, I think we’ve been extremely productive in the Los Angeles area. And we’ve established a really great team and we’ve done that also in a few other cities. But we really wanted to enter this business cautiously, so we didn’t go and hire a 100 people, and I think the people that we’ve got are actually very, very productive. So the answer to the question is as soon as I get a very good person in the market, or calling on the market then the productivity goes up.
Ed Woo – Wedbush Securities: And have you noticed – if you did a very good examples of how you’re able to differentiate yourselves between Open Table and Groupon. Have you noticed any other changes during the quarter in terms of the competitive state?
Chris Loughlin: No, I mean nothing really has changed, when we entered this business we had – the margins were up as 50%. The feedback from the field is that that’s not really the case. And I’ve always stated that it seems that the market is trading around 40% to 30%. And we are aiming in that range as well. So nothing fundamentally has changed out there that we can see.
Ed Woo – Wedbush Securities: Thank you. Well good luck and as a person who is living in L.A., I am definitely looking forward cost savings or opportunities out here.
Chris Loughlin: Thanks Ed.
Operator: Our next question comes from Eric Martinuzzi with Craig Hallum.
Eric Martinuzzi – Craig Hallum: Thanks. Just wondering as we’re looking to model I know you’re not giving guidance but I would expect and you’ve commented it in the past that your subscriber growth comes in growth in the rate card. On the core travel product what sorts of increases are we seeing in North America and Europe?
Chris Loughlin: So in North America, I don’t believe that we’ve put a – I don’t believe we’ve put a rate card increase in this year, Eric. We did however put a rate card increase in Europe and it varies by market. Typically when we’re putting those rate card increases in, we would put them in line with the audience growth. So if a market grows by 40%, 50% the rates would go up by may be 40%, 50% or in some cases it could even be a little bit higher. So the major rate increases you should expect from Europe.
Eric Martinuzzi – Craig Hallum: Okay, all right. And then shifting over the local side, given that it is such a key part of many investors investment pieces, I don’t know that you actually or that we can actually back into that gross voucher number any more. You do have, I mean we can gain a good way there but you’re selling a number of deals direct, in other words if it’s a date related, let’s say a Broadway show something like that, that’s coming to the user or the user is clicking through and then they’re dealing directly with the fear, and that’s harder for us to capture. So giving a net revenue number it’d be very helpful from an investor perspective. What’s your thoughts there?
Chris Loughlin: The reality is that these direct deals have been in the business for three years. The only thing that’s happening there is we’ve moved the distribution of those deals from Newsflash which is really a product just designed to announce travel sales and we have moved those entertainment deals out of Newsflash into Local Deals, where the Local Deals publication is live. So it’s sort of, its rather more a perception issue Eric, and nothing really has changed for the fundamentals of the business but it looks – it might look like I would now sending lots of deals direct and we won’t doing that in July or September when Local Deals first started but actually we were doing it just running it through Newsflash. I would probably just remove those from your analysis because many of them were already in the business, I mean we are seeing good growth in entertainment in general, but that’s nothing new for the last three years.
Eric Martinuzzi – Craig Hallum: Okay, well may be another way I can back into this, I think you talked about on the Q3 call $300,000 net revenue contribution from Local and that was just a few I think it was from August 26 kickoff with a margin implication of 30% to 40% range, maybe you could just if that implied a $9,000 number or something like that on the gross side. Can you at least talk to what the growth – the growth in the gross was for Q4 versus Q3?
Chris Loughlin: Yes, so I mean that is public information. So the growth in the gross was somewhere in the region of between eight to nine times. So just shy of 10 times growth quarter-over-quarter. So just under a 1000% growth.
Eric Martinuzzi – Craig Hallum: Okay, all right. And then you mentioned getting paid, you guys get paid upfront on the voucher sale that, has there any been push back with some of your local vendors may be that have a bigger footprint or a higher ticket item where they want to get paid faster or there is different terms by merchant?
Chris Loughlin: Yes to some extent, there always is regardless of whether you’re selling advertising or you’re selling this model everyone wants to negotiate. And we want to negotiate for a better deal too, right? So yes, but we have a set policy which we abide by. We in Q4, we had a payments schedule with merchants. I think that was probably one or two exceptional cases where we might have overruled that policy. But in general in 99.5% of the cases everyone adhered to the policy. Our off loss [ph] fee somewhat is look, if a business is really screaming and shouting that they need the cash immediately now, that really sounds off alarm bells because why would a business need that cash flow right away if the redemption occurs over the next year. So we would probably run for the hills if a business really demanded such aggressive payment terms.
Eric Martinuzzi – Craig Hallum: Okay, and then as far as you’re operating expenses you talked about what they were for Q4, you’re obviously pulling a lot of leverage so you’re trying to grow your subscriber base on the travel side, as well as expanding in Local as well as driving traffic to SuperSearch. What’s the expectation for operating expense in Q1 versus where it finished out in Q4?
Chris Loughlin: Well we don’t give any guidance Eric on that, I mean what I would just say is that there are number of events in Q4 that would not happen in Q1. For example we had an annual company meeting in Q4 and that was really important because we’re exploding as a business in terms of our growth rate is accelerating and we need to get it on together. We’re not going to have another company meeting in Q1. But in general Travelzoo is always scared a pretty steady course. We’re not interested in blowing up expenses. You saw that in Q4 that we actually slowed down on Fly.com and SuperSearch. That was because we were really sitting there at the beginning of the quarter thinking, okay, if we don’t hit that revenue number on Local Deals and we’ve hired all these people, then we’ll impact the bottom line. So what’s the trade, and that was the trade that we made. May be we were overly cautious but in the end, the bottom line remained healthy and in team [ph] with our strategy. So I think it’s sort of steady as she goes on the cost side. We are not interested in blowing up on costs.
Eric Martinuzzi – Craig Hallum: Thank you.
Chris Loughlin: Thank you Eric.
Operator: Our next question comes from Bill Lennan with Monness, Crespi, Hardt.
Bill Lennan – Monness, Crespi, Hardt: Hi good morning Chris, good morning Wayne. I think you’ve published this in the proxy I am not sure, where I’ve seen it before, but I wanted to ask you what your management goals are for 2011, I know a few years back put right (inaudible) for everybody, you want to decrease customer concentrations which you’ve apparently succeeded doing very well. But the business is far more complex now. So I am trying to figure out how you structure your bonus pool for the management when you’ve got three or four really diverse business with going on. So that’s part one. Part two is more of a small practical question. Did you have any impacts from UK and continental Europe bad weather on the quarter? And then three what’s the emerging threat that you’re most concerned about right now, whether it’s, I’ll just use a threat let’s say Facebook, quote, unquote everybody in the world joining the Facebook for everything kind of scenario including their travel advice. So if you could pick those three up, I might even come up with a couple of more while you’re answering?
Chris Loughlin: Okay. So the first one was on bonuses. Bill, good morning as well. Of course each manager and I’m sorry, I should say executive has a plan just designed for that executive. What we’ll often do is we’ll put four components in and whatever those four components are to guide the business. And most of our businesses and most business in the world, you can stay on the top line revenue, the income and then with other quarter those you have in the business. With some of the other businesses, the ones where maybe it’s more of a land grab to grow revenue quickly, it could be heavier on the revenue but in general it’s about leaders [ph] that they can control. So I mean without disclosing all of the bonus plans, I would say that they are structured quite well. And we tend to get the results both on the top line and the bottom line because of those, but also because of the operating success of that executive and his or her group. On Europe, no we didn’t see any significant impact on travel bookers with the weather in Q4. We have a pretty robust business in the UK and Germany. If you look at the content, a lot of its also domestic. So it’s not like every time someone books a trip with Travelzoo or sorry through the deals that we publish that they have to fly somewhere. And often times when you get a crisis, a shock that indeed could be good news for Travelzoo, not just bad news, so – but nothing significant there. The last point on the threats, what are we concerned about? The number one thing I am concerned about is we consistently produce the most outstanding quality. Yes, there are going to be new businesses, Facebook and so forth. But I think we’re already extremely relevant in Facebook. What we understand both in travel and also in publishing (inaudible) either end of the source rather the guy producing the content while we do that and we do a phenomenal job of that, or you’re the guy with the big audience and the big reach, big distribution. And we have them to have that as well. So we’re quite fortunate but I would say the thing that I am most concerned about is just ensuring that we produce the most outstanding quality day after day after day, and then we will retain our audience. Look at something like the New York Times, that’s an outstanding newspaper, but the actual structure of that product. Its paper, they (inaudible) often your fingers, I mean it’s not really how you would think we would be looking at newspapers in 2011. But it is absolutely the best and with new media they have increased their distribution. And I feel that we are very much the same way.
Bill Lennan – Monness, Crespi, Hardt: Okay. And then I was going to ask the question about taking some spend of SuperSearch and sign a comment, I think you got to the answer but your answer – you mentioned managing to the bottom line. Is that your internal bottom line or you’re starting to pay attention at Wall Street expects, because I know with the stock up 10 or 11 fold from the lows and volume up and you’re getting a lot more attention, the stakes are higher with respect to what you’re reporting every quarter. So when you talk about managing to the bottom line, is that something you stay strict internal targets or you’re starting to pay attention to what Wall Street wants from you?
Chris Loughlin: No we have strict internal targets and we’ve set our budgets at the beginning of the year. So then we have to operate within those, I mean the thing you have to remember is Local Deals. If we go back one year ago today we weren’t even thinking about Local Deals. We launched our business in May. It wasn’t in the overall budget. It wasn’t in the overall plan. And there is actually is really good example of look what we’ve got Local Deals got live in London in December and we still managed to bring Europe in with a very small profit. And I think that’s remarkable that we were able do that. And there were huge effort in this business to get Europe live and it wasn’t just building technology and signing a deal. It was also previously issues that you have taking credit cards from customers in these different countries across Europe. So I mean of course if you’re undertaking such an effort there is costs associates with that. And we didn’t want to exceed our internal goal. So we had to pull back somewhere and we could foresee that. And you know Travelzoo is – Travelzoo is always been relatively cautious on costs and maybe we overcooked it a little bit. We probably could have spent a little bit more but I think we made the right decision.
Bill Lennan – Monness, Crespi, Hardt: Okay, thanks a lot.
Chris Loughlin: Thank you very much.
Operator: Our next question comes from Jason Helfstein with Oppenheimer & Company.
Jason Helfstein – Oppenheimer & Company: Hi, thanks. Two questions, the first a follow-up on what everyone was trying to guess at the deal revenue, I mean just, we could obviously look at your accounts payable. And just to clarify is it fair to assume that you’re trying to pay the vendors at the same type of schedules that Groupon pays them over the three months. And then my second question is I think clearly there is a lot of focus on again on the deal space and I think the question people are asking themselves is who has got a competitive advantage longer term because everybody can’t do this. We can kind of think about what we think somebody like an Open Table’s have a competitive advantage maybe if you want to talk about what you think your sustainable competitive advantage is particularly on the Local Deals? Thanks.
Chris Loughlin: Okay. So on the first, the first point, we have similar payment schedules I think to the industry, I mean some are very different I understand the LivingSocial pay is very fast, and Groupon pay is at a slower rate, ours is unique. But I am really not sure that that’s how I would analyze it. I mean I’ve stated previously that we’re operating somewhere between the 30% to 40% range, that’s our target. Obviously we’d like to get above that. And that’s probably how I would do the math. On the second point sustainable competitive advantage, Travelzoo has been through quite a few cycles. There was a period of time when we had we have a product called Top 20, a top flagship product and it’s an email that goes every Wednesday with all of our deals. And it came under massive attack by the big OTAs, by startups and not just in the US also in Germany and in the UK. In the end we prevailed and not just by a little bit by a heck of a lot. And the reason for that is because we stay absolutely focused on quality. And if you go to business school, you’ll hear well quality isn’t a sustainable competitive advantage but there is one aha in that is in publishing it is. So go and pick up the Economist, go and pick up the New York Times and you’ll find why are they still able to do that after such a long time and why are they still, why has the Economist now got a million readers in the US, because it’s the best content. And if you start sending people crumby deals day after day after day, they’re going unsubscribe. So that’s one key competitive advantage and sustainable long-term advantage. The second thing is Travelzoo’s brand is trusted. Look at the Facebook pages we’ve got and you’ll see that people love Travelzoo. In fact, unprompted you just go there and people do I love Travelzoo. I actually do one thing, when I just go on Google and I type in I hate Travelzoo, I hate and I type other brands in, I never find I hate Travelzoo, but I find lots of sites for I hate these other brands. So we need to make sure that whatever we are delivering to our subscribers is really the very best that we’re honest and straight forward with them, and we give them deals that we would want ourselves. And I think that if we stick to that we can continue to be very successful.
Jason Helfstein – Oppenheimer & Company: Just one more quick follow-up, you just comment on for those of us who are all newer to the story, what does a restricted cash make up on the balance sheet as well as deferred revenue? Thanks.
Chris Loughlin: Wayne Lee can answer that question.
Wayne Lee: One thing on deferred revenue. It’s on our traditional media model, ever hiding [ph] model where we might get instances where you have advertisers who prepay their campaigns. So obviously we get the cash and the other side would be to deferred revenue. On the restricted cash front, the balance is primarily for two items, one is for a letter of credit that access deposit for our space in New York City. And the other one is a deposit that we had to put in place in order to get a merchant ID to get Local Deals up and running in London.
Jason Helfstein – Oppenheimer & Company: Thank you.
Chris Loughlin: Thanks very much Jason.
Operator: Okay, I’ll turn back now to Mr. Loughlin.
Chris Loughlin: Thank you operator. So excuse me, thank you, ladies and gentlemen, that concludes today’s conference call. We appreciate your support and look forward to speaking with you next quarter. Have a nice day.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This concludes the program. You may now disconnect. Everyone has a nice day.